Operator: Good morning ladies and gentlemen and welcome to the Gannett fourth quarter 2008 earnings conference call. (Operator Instructions). Our speakers today will be Mr. Craig Dubow, Chairman, President and CEO and Gracia Martore, Executive Vice President and CFO. At this time I'd like to turn the call over to Gracia Martore. Please go ahead.
Gracia C. Martore: Thanks [Paul], and good morning. Welcome to our conference call and webcast today to review our fourth quarter results. We hope you've had the opportunity to review our press release this morning. It also can be found at www.gannett.com. With me today, as [Paul] said, are Craig Dubow, Chairman, President and CEO and Jeff Heinz, Director of Investor Relations. Today Craig will provide an update on our efforts to manage Gannett in this extremely tough economic environment and position the company for the future. He also will provide a brief overview of our results for the quarter. I'll go in to a little more detail on our results, particularly our business segments. I'll also discuss our anticipated impairment charge as well as the restructuring expenses for the fourth quarter. We supplied you with a detailed look at our expectations for the quarter in mid-December, so we will keep our comments brief this morning. Craig?
Craig A. Dubow: Thanks, Gracia, and good morning all. Like virtually every other business Gannett's results for the fourth quarter reflect the unprecedented turmoil in our economy and financial markets. The ongoing softness in our real estate markets, slowing auto sales, job losses and weak holiday sales took their toll. Even so, Gannett continued to innovate and transform our core businesses while at the same time managing the cyclical downturn. This twin focus is the key to our strategy and will, I believe, serve us well over the next several months as we face the global economic downturn and position ourselves for any recovery. Today I want to talk to you about our efforts on both of these fronts while highlighting our ongoing innovation and important acquisition and our overall progress. First let me tell you about our industry-leading innovation changes in Detroit. As we have noted on a number of occasions, we truly understand the changing media landscape and the consumer's desire to access content across multiple platforms. This is at the heart of our Detroit transformation. For those of you who don't know, we operate under a joint operating agreement in Detroit. We own the Detroit Free Press and Media Newsgroup owns the Detroit News. Due to a combination of factors, namely two newspaper market and a very trying regional economy, we had to fundamentally change the way we deliver our content. Using a very research-based customer-centered approach, the managements of the newspapers evaluated the market, talked to our readers and advertisers and tailored a series of significant changes to meet these needs. The goal is to deliver what our customers want and what advertisers need while significantly reducing production and distribution cost. Beginning in this quarter we will be offering a wider variety of digital information channels in Detroit while continuing to provide home delivery of the newspaper on Thursdays, Fridays and Sundays. Subscribers will have access seven days a week to improved daily electronic editions that are the exact copies of each day's printed newspapers and can be easily printed and navigated. Printed copies of the newspaper will be available at newsstands seven days a week. Many Detroit advertisers have indicated their support of these efforts. I encourage you to access at www.freep.com, that's F-R-E-E-P dot com, to track the progress of these changes. This is a bold step and I applaud the Gannett leaders that are making this happen. Transformation is taking place on many other fronts as well, including a cornerstone of the Gannett Company, our content. Gathering and distributing reliable and relevant content is what it's all about for Gannett and will be a key to our success in this transformation. Our ContentOne initiative announced in December will fundamentally change the way we gather, manage and use that content. Improving the efficiency of content development and our ability to more effectively share our content across properties and platforms are our initial goals. We will do that by working to eliminate duplication which will give our journalists the ability to focus on quality and deep local coverage. One aspect of that will be managing major event coverage, both to be more efficient but also to be more attractive to national and local advertisers. We used the Inauguration as a very early test and found both strengths and challenges. Our next test most likely will involve sports as we ramp up to the project. Contents One's major innovation ultimately will be the decoupling of the content solely for use in our news and information platforms and valuing that content for sale outside of Gannett. Viewing and managing our content as a product is a key goal of this transformation. On the digital front we announced the purchase of Ripple6 in the middle of the fourth quarter. Ripple6 provides publishers and marketers with a proprietary social media platform with which they can build online communities. The platform has many unique aspects which make it easier for members of those communities to more simply communicate and share information. It also provides deep and rich analytics and advertisers seeking to understand the value of that interaction. Finally it allows brand managers to recruit people in their communities for research and focus groups online, creating new revenue streams for online publishers. The consumer's interaction with content is changing continually and social networking is just one example of how that interaction is evolving. These online communities are becoming more prevalent and entrenched and we want to be in a position to benefit from them. Ripple6 will help Gannett achieve that goal, just as it will help marketers and other publishers as well. We also experienced some firsts in our content distribution in the quarter. Our folks in the digital and at USA Today developed a USA Today news application for the iPhone that went live in late December. The app features the latest from USA Today based on the standard sections of news, money, sports and life as well as tech and travel. A weather section based on GPS is features along with updated sports scores and schedules, photo galleries and user polls. It also is a new and innovative way for marketers and advertisers to reach a very desirable audience. The USA Today app is getting great user reviews and has become one of the most popular for the iPhone according to the Apple folks. It became the number one free news application soon after it was released. Last week it was ranked 58 among all free apps and has climbed steadily since to as high a six, a significant accomplishment considering there are over 15,000 individual apps available for the iPhone. Also in December USA Today became available on the Amazon Kindle. We have seen solid response from a strong brand on yet another platform. One other note regarding USA Today; they are in the process of changing the business model for the international edition. USA Today will publish the final international edition next week. However, they are in discussions with our partners to move to a licensing model in which USA Today editorial staff will produce the content while regional partners would pay a per copy fee to print the newspaper and sell their own advertising. While we are transforming Gannett through innovation we are at the same time using the same methods to measure cost during this recession. We are assessing our costs from top to bottom, working to save money while delivering value to our customers. Unfortunately that required some very tough decisions during the quarter regarding the size of our workforce and operations. This restructuring resulted in a severance charge of roughly $56 million. We continued to centralize and streamline our operations. We announced furloughs for the first quarter of 2009 as a preemptive effort to limit expenses while working through the economic slowdown in assessing the coming year. Furloughs were the least invasive to our operations and the fairest to our employees while addressing the financial challenges that we and most companies in the U.S. and abroad are facing. One final item to discuss is our annual goodwill impairment testing. We are nearing the end of that process and expect to take a non-cash impairment charge in the range of $5.1 billion to $5.9 billion pre-tax, or $4.5 to $5.2 billion after tax, reflecting the write down of goodwill primarily. The impairment reflects the decline in ad demand and business conditions stemming from recessions both here and in the U.K., as well as the decline in equity valuations generally and our stock price specifically. These are non-cash charges and do not, however, impact our ability to manage our business, pay down debt or affect our ability to borrow in any way. As a reminder, in the fourth quarter last year we recognized a non-cash impairment charge of roughly 51 million after tax. We also had an after tax severance and facility consolidation cost of approximately 24 million. Before we turn to our results for the quarter, it’s important for you to focus on the fact that Gannett is in a solid financial condition. We are profitable and generate substantial free cash flow, at the same time we are pressing forward to transform Gannett and position it for the future. Now turning to the results for the quarter, preliminary earnings per share were $0.69. Excluding the restricting expense they would have been $0.85 per share. Our operating revenues totaled $1.7 billion. Total expenses excluding severance expenses were $1.5 billion, slightly lower than last year’s fourth quarter; however, pro forma expenses, excluding severance expense in both years and the impairment charge in the fourth quarter 2007, declined over 6%. Operating cash flow was about $328 million for the quarter. Our results reflect the stalled economy both here and in the U.K. primarily and its impact on advertising demand. We did however benefit from the politically related spending and solid results in the digital segment. In our publishing segment the advertising revenue took trends through November we noted recently were slightly better in December. There was improvement in some categories but overall we finished the quarter in line with our results through November. Circulation revenue was down in the low single digits. However, circulation revenue domestically was relatively flat for the quarter but up in November and December. We benefited from the price increases as well as demand for Election Day coverage, particularly at USA Today. An additional 400,000 copies of that edition sold bringing total circulation to roughly 2.8 million. Political revenue helped to boost results on our broadcasting segment. We exceeded our projections for the fourth quarter of 2008 with political spending totaling about $58 million. As anticipated our stations in Denver, Minneapolis, Cleveland, St. Louis, Washington, DC, Atlanta and Phoenix saw significant political advertising. Broadcasting revenue was up slightly for the quarter. Television revenue which excludes Captivate was up almost 2% for the quarter. Online revenue and broadcasting was up about 7% in the quarter; however, several ad categories in broadcasting were under significant pressure and we expect to continue into the first quarter. Based on our current outlook and results to date we expect television revenue to be down in the mid teens in the first quarter of 2009. Moving to the digital segment this is the first quarter in which Career Builder has been consolidated for the entire quarter. As I noted we acquired Ripple6 in November so their results are included in the digital segment in addition to Career Builder, PointRoll, ShopLocal, Planet Discover and Schedule Star. Reported digital segment revenues totaled $170 million while operating expenses were $146 million. Operating cash flow for the segment was just over $34 million due to solid results for Career Builder, Shop Local, and PointRoll. We continue to carefully invest in our digital businesses. On a pro forma basis assuming Career Builder and ShopLocal had been fully consolidated for all of 2008, and 2007 fourth quarters, operating revenues in the digital segment would have been 1.4% higher, operating expenses 5% lower ,and operating cash flow would have increased almost 64%. In order to help you better understand Career Builder results we’ll start with what has typically been shared with you in the past, Career Builder's network North American revenue. This is comprised of total revenue from Career Builder's own sales efforts in addition to the revenue from the network of owner affiliated newspapers. Career Builder network North American revenue for the fourth quarter totaled $163 million, an 11% decline from the same quarter in 2007. Over 80% of the total came from Career Builder directly, where the balance was derived from the owner affiliated newspapers, ours as well as Tribune and McClatchey, The decline was due primarily to fewer up sell opportunities as print employment advertising continued to fall. Career Builder's own directly sourced to generated revenue was up about 2% compared to the fourth quarter of 2007. Average network traffic visitors in December, Career Builder network traffic jumped 24% and it increased 6% for all of 2008 compared to 2007. For consolidation purposes we included Career Builder network revenues less those revenues for Career Builder already accounted for in our and other companies' publishing segments. On a pro forma basis, assuming Career Builder had been consolidated for 2007 and 2008, revenues rose 3% for the quarter and 14% year-to-date. Aggregating online revenue company-wide, including online revenue generated in our publishing and broadcasting segments, total online revenue in the fourth quarter was over $260 million. On a reported basis online revenue company-wide was $684 million. If we had consolidated Career Builder for the entire year online revenue would have been about $1.1 billion. With that let me turn the call over to Gracia.
Gracia C. Martore: Thanks, Craig. Before we go into detail on our quarterly results I need to remind you that our conference call and webcast today may include forward-looking statements and our actual results may differ. Factors that might cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures and we have provided a reconciliation of those measures to the most directly comparable GAAP measures in the press release and on the Investor Relations portion of our website. This morning I’ll provide some additional detail on our publishing segment, our expenses company-wide and give you some detail on the severance expense and its impact. Finally I’ll cover some of our non-operating and balance sheet items. Let’s first go to publishing where the global economic recession as we have noted continued to pressure advertising demand throughout the quarter. Advertising revenue declined 22.7% as ad revenue was 17.7% lower in the U.S. and 29.3% lower in the U.K. on a constant currency basis. Overall, retail was about 14% lower, national down about 18% and classified down about 37%. As Craig noted December’s result overall was better in comparison to November's results both in the U.S. and the U.K. Retail advertising continued to be soft in December although it improved relative to November. In the U.S. across all of our products and retail the majority of the decline similar to the third quarter was due to continued weakness in the department store, furniture and telecom categories. However, financial performed well in the quarter as it did in the third quarter. Lower advertising demand at USA Today drove the decline in national advertising in the quarter. The telecom, financial and advocacy categories all grew but the gains were more than offset by softer results in the entertainment, automotive, retail and travel categories. Moving to classified, the trends in U.S. community publishing classified advertising we noted for the first two months of the quarter continued in December. Classified advertising was down roughly 31% consisting of declines in auto, about 26%, employment, about 47% and real estate, about 33%. Again we continue to see more softness in our classified categories in Arizona, California, Florida and Nevada relative to our other markets. In the U.K. the current economic picture is similar to ours here in the U.S. although the downturn occurred later but much more quickly. In fact it was announce last week that they U.K. is officially in recession with the economy contracting by 1.5% in the last quarter of 2008; the worst performance in more than 28 years. Results for Newsquest and for that matter the rest of the regional press in the U.K., pointed in that direction for most of the year. However, Newsquest advertising revenue during December was consistent with November’s trend. The management team at Newsquest is continually assessing their expense structure and working to align it more closely with business conditions. Craig covered the broadcasting and digital segments in detail, so let me move to the impact of severance expenses on each of our segments in the fourth quarter We continue to be very disciplined and focused on transforming our expense structuring in every way possible. As a result of those efforts to restructure, we had severance expenses of roughly $56 million in the quarter, with all of our segments experiencing some level of expense. The majority of it, about three quarters, was in the publishing division. Roughly 10% was in broadcasting and corporate, with the balance in the digital segment. We expect the impact of these efforts to be about $190 million in annualized compensation expense savings. As you also saw, we announced one-week furloughs for the first quarter. Although we expect significant savings from them, it is a bit early to quantify it for you. We will provide an update when we report our first quarter earnings. Now moving to expenses company-wide, total reported operating expenses were down slightly in the quarter. We had severance expenses in both quarters of 2008 and 2007, and we also had a small impairment charge in last year's fourth quarter. So if you exclude the severance expenses in both years and the impairment charges, our pro forma expenses were 6.3% lower. Operating expenses in the publishing segment fell almost 11%. Excluding severance expense and impairment charges, operating expenses were actually 6.8% lower. Our efficiency and cost control efforts, although offset partially by higher newsprint costs, drove the decline. For the fourth quarter, newsprint expense was up 2%. A 19% decline in consumption was more than offset by an increase in usage prices of over 26%. Focusing for a moment on newsprint and where we stand currently, newsprint prices turned lower in the fourth quarter of 2008 and continued to fall as suppliers experience a global decline in demand. Suppliers are also facing orders at anemic levels as a result of lower consumption and higher publisher inventories. More specifically, a substantial regional price variance continues to grow between East and West in excess of $50 per metric ton. It is unlikely this price variance can be sustained. Gannett has taken steps to effectively manage our newsprint pricing in recognition of these market realities. We continue to encourage suppliers to work with us and other publishers to establish less pricing volatility, as we all face the weakest economic conditions in memory. Drilling down a bit more on the expenses for our other segments, broadcasting expenses as reported were relatively unchanged in the quarter, and totaled about $121 million. Excluding severance, operating expenses there were actually 4% lower. Reported digital expenses were about $146 million for the quarter and increased significantly, primarily due to the consolidation of Career Builder and ShopLocal for the full quarter. On a pro forma basis, operating expenses there were actually down about 5%. There were some severance expenses in digital, primarily at Career Builder as well in the quarter. Excluding those severance expenses, the decline was over 6%. One final note on expenses, corporate expenses were about 19% higher in the quarter, due primarily to severance, but were actually down almost 8%, excluding severance. We also had some significant swings in our non-operating items. So let me provide a little more detail there. The equity income line was about $5.8 million lower year-over-year, driven primarily by the absence of Career Builder earnings this quarter, which are now fully consolidated in our numbers. As well, lower results from our newspaper partnerships and additional investment in new businesses like Metromix, Mogulus and Cozi also had an impact. Other non-operating items moved to a loss of $7.7 million this quarter, primarily the result of our minority interest charges for Career Builder and lower investment income. That was, however, partially offset by a gain on the partial redemption of our May 2009 public debt and other small asset sales. Turning to our tax rate, our rate on earnings before severance costs and impairment was lower in the quarter at 25.1%, compared to a tax rate on similar earnings in the fourth quarter of last year of 32.8%. Several favorable state tax settlements, the release of some tax reserves as the statute of limitations expired, and a lower statutory tax rate in the U.K. all contributed to the lower rate. We expect a more normalized tax rate in the first quarter. Interest expense totaled $51.5 million in the quarter, about 10% lower than the fourth quarter last year, reflecting both lower interest rates and debt balances. Looking at our debt structure, we finished the year with long-term debt totaling $3.8 billion. As you know, we drew down on our revolving credit facilities amounts sufficient to repay all of our commercial paper. The total amount outstanding under the revolving credit facilities at year-end was approximately $1.9 billion. We also completed, as I said, the partial tender of our bonds maturing in May of 2009. After the tender, approximately $632 million of these bonds remain outstanding, which will be refinanced through borrowing in the capital markets or under our revolving credit agreements, and through free cash flow. We also have public debt maturing in June of 2011 totaling $500 million, another $500 million maturing in April of '12. Finally, we have a $280 million bank facility that matures in July of '11. Our all-in cost of debt is a bout 4.4% at the moment. We expect we will have about $3.7 billion in debt outstanding at the end of the first quarter. A couple of reminders regarding amendments to our credit facilities; we amended all of them and our term loan during the quarter. We replaced the minimum net worth covenant with a debt-to-EBITDA covenant of 3.5 times. We also reduced the size of the revolving credit facilities to $3.1 billion until the end of this year, at which point they go to $2.75 billion. At this point we have about $1.2 billion of capacity under those facilities. That gives us, together with our strong free cash flow, ample capacity to fund our 2009 maturities and, as I mentioned, we have no other debt due until 2011. The amendments to the credit agreements are included in our third quarter 10-Q, which we filed in November. Given the economic turmoil and current situation in the capital markets, we will continue to be focused on paying down our debt with that substantial free cash flow we generate. Updating you quickly on CapEx, they were about $62 million for the quarter, including about $5 million for Career Builder, and ended the year at $165 million. Before we turn the call over for questions, a couple of reminders as we look to the first quarter of 2009 in comparison to the first quarter of 2008. First off, we will go against the toughest revenue comparisons, particularly for the U.K. At the same time, the exchange rate for the British pound will be a headwind. It averaged 1.98 in the first quarter of 2008, and is roughly 142 currently. In addition, the first quarter is seasonally the weakest quarter for our digital investments, as some, such as Career Builder, will incur significant promotional costs in the quarter. Newsprint costs are moving down, but we will be up against the lowest prices we had in 2008 in the quarter. As well, we are on primarily a FIFO inventory method. Results for the first quarter of 2008 also included gains on the sale of land, which totaled $25.5 million pre-tax, and $15.8 million after tax, and some other operating asset sales that we will not have in this quarter. Finally, we expect to have, as I said, a more normalized tax rate in the quarter, in the 36% range. So you will need to factor in all of these first quarter items as you do your model. Now we'll stop, and Craig and I will be pleased to take your questions.
Operator: (Operator Instructions) Your first question comes from John Janedis – Wachovia.
John Janedis – Wachovia: Hi, good morning. Thank you. Gracia, on the digital front, I think you said last month that October-November combined was up in the 5% range, and with the quarter coming into that one forum, I'm wondering what you saw in December and whether or not that's carried into the new year? Thanks.
Gracia C. Martore: What we saw coming into the end of the quarter I think was a little bit of a mixed bag. Obviously at Newsquest and in our U.S. properties where employment up sells are still an important part of the mix, we continue to see pressure on online revenues as a result as fewer adds to up sell. Conversely on the auto side and in banner advertising particularly in the U.S. community publishing side as well as in Newsquest we actually saw very, very nice gains. As well as in our U.S. community side on automotive we saw very nice year-over-year gain in automotive online advertising. Again Career Builder had just a terrific quarter given the economic backdrop that they had to contend with and ass we said, on the Career Builder-driven side their revenues were up very nicely, obviously held back by the newspaper up sells or the diminished newspaper up sells there. And then they saw a very nice increase, albeit off a small base on the international side. So overall I think we're pleased where we ended up the year on the digital front.
John Janedis – Wachovia: Just one related question I'm sorry for the number two, but how much seasonality is there for the cash flow in 4Q for the digital segment?
Gracia C. Martore: Yes, as I said John, particularly Career Builder which is obviously the lion's share of our digital segment they have a significant, as they do every year, significant promotional spending and advertising investment that they do in the first quarter which is moderated as the quarters progress during the year and in the fourth quarter that is their most significant quarter. So in the first quarter we would expect that on the Career Builder side we would be in more of an investment mode and then as the year progresses we'll see that nice uptick in the bottom line and in EBITDA.
Operator: Your next question comes from Alexia Quadrani – J.P. Morgan.
Alexia Quadrani – J.P. Morgan: On the Newsquest business you've always been very diligent on the cost side in a weak ad market. I was wondering if you would just give us some general color on the how the profitability of the Newsquest profitability compare to your domestic community papers. And just a quick one on the broadcast business, we're hearing much worse pacings from others in the down mid teens as you suggested. How much of that benefit do you get from the Super Bowl maybe in the outlook?
Craig A. Dubow: We'll see some nice improvement with the Super Bowl, but in general as I commented we will be down in the mid teens for the quarter. There are some hard hit categories particularly that in the auto, in retail categories because they've been hit fairly hard. But we will in general I would say that the Super Bowl will be of help to Dave and the group as we move forward.
Gracia C. Martore: And Alexia on the profit margin questions vis-à-vis, Newsquest and our community publishing segment. Actually Newsquest through the very strong efforts that the management team there has taken on restructuring and really refocusing and recasting their cost structure. Their margins continue to be quite strong and more than comparable with our U.S. community publishing margins, despite the fact that they have much more of a focus on the classifieds side as a part of their advertising total.
Operator: Your next question comes from Craig Huber – Barclays Capital.
Craig Huber – Barclays Capital: My first question, Gracia, about your pension, a year ago I think it was under funded by almost $150 million. It looked like about a year ago you had about $3.4 billion of assets in the pension portfolio. I've got to assume the pension like everybody else dropped a good 20% this year, in 2008. Does that mean you guys are roughly underfunded in the pension by $750, $850 million and if that is the case do you have roughly seven years to get that back to breakeven?
Gracia C. Martore: Actually what you are looking at also includes our SERP which is unfunded. So if you look at our domestic qualified plan here in the States obviously it reflects the significant declines that we've seen in the markets last year and our plan just like everybody else's plan has been impacted by that. Our unfunded obligation though on that plan at the end of 2008 is going to be somewhere in the $575 to $590 million range. Obviously there are a lot of factors at play. There's discount rates, how the market continues to fare; if there is the possibility for governmental relief, but as things stand today that number would be funded over the next seven years. And we don’t have any cash contributions required in 2009 and so we'll just continue to look at it as we always do and we'll continue to monitor it and monitor the various factors and see if there may be some thought to doing some discretionary contributions. But we have no required contributions for '09.
Craig Huber – Barclays Capital: And also Gracia about the dividend ratio, I know you've thought about this a lot, you and your board and senior management. Is there plans in the first quarter just given what's going on in the economy the and the cyclic pressures, etc. to cut the dividends significantly here to conserve cash to focus on paying down debt?
Gracia C. Martore: Craig, I think every company globally is very focused on conserving debt, conserving cash. I think that you will find that we had to look at the dividend back in October and I think that the board wisely wanted to see what the impact of a burgeoning credit crisis and more difficult economic conditions would bring. We will – the next time the board has to act on the dividend is in February and I know that there'll be significant conversation around that. In the context of where credit markets are, where the economies are and where cash conservation comes into play across the country. So we will take that up with the board again in February and we will act appropriately.
Craig Huber – Barclays Capital: And if I could just slip one more in, Craig, if I could just ask you what percent of your newspapers would you say in the U.S. did you maintain the ad rates on average flat for the year or even perhaps down? Do you have a ballpark number?
Craig A. Dubow: That would be a very difficult one to answer only because the individual ad rates as you know Craig are set by the local markets as we go forward, but on a percent – I couldn’t do it right off hand actually.
Gracia C. Martore: Maintain rate?
Craig Huber – Barclays Capital: Yes maintain.
Gracia C. Martore: I think a considerable.
Craig A. Dubow: Maintenance, yes on a maintenance basis, yes.
Gracia C. Martore: And at USA Today we actually would have increased rates.
Craig A. Dubow: That is correct.
Craig Huber – Barclays Capital: Well, do you have a sense maybe, I’m asking perhaps how many percent roughly did you actually lower ad rates, or perhaps maybe none? I just want to hear your answer.
Gracia C. Martore: It's almost impossible to answer that question because there maybe some newspaper in a couple of different categories that did some things that were specific to a market. I would say that overall that we have, as we have said previously maintained rates or in some cases judiciously increased them, but this is not a year of looking at dramatic ad rate increases. It's really a year of focusing in on gaining market share and doing the right job for the advertiser.
Craig A. Dubow: That's correct. Yes.
Operator: Your next question comes from Catriona Fallon – Citigroup
Catriona Fallon – Citigroup: I just wanted to build a little bit on Craig's first question about the dividend and cash flow and maybe jump into some of the other drivers for cash flow. So on CapEx, how much of the CapEx is growth versus maintenance. So what could CapEx become if you decided cut the growth CapEx? And then are you planning to conserve cash on acquisitions and also on common stock this year, buy backs?
Gracia C. Martore: Catriona, I think that we indicated at the end of the year with regard to uses of free cash flow that we would be very focused on paying down debt and it was unlikely in the short to intermediate term we would be buying back stock. On the CapEx front as I said we spent about $165 million on CapEx in 2008 including a small piece for Career Builder since its consolidation. We have given guidance in December that our CapEx plan including Career Builder would be in about the $148 million range. However that's a plan that we will continue to review as we proceed through the year and I would expect that we would come in perhaps lower, clearly lower than that number. But it's a little early in the year to forecast where we'll end up. But clearly we're taking a look at every expenditure and making sure that the return is there before we spend the dollars and deferring anything that there are any question marks around.
Catriona Fallon – Citigroup: Great, just one other that's really quick. The digital business, definitely margins there were significantly higher than I think what we had expected and what you had guided to. How much of that was possibly due to Ripple6? And can you give a little bit more detail on the margin for Career Builder because it looks like the margin there is still lower than monster.com. Where do you think those margins can go longer term?
Gracia C. Martore: First of all we are delighted to have Ripple6 as part of the Gannett family. We think it's a terrific investment and a great management team there that will do very strong things for us. But quite frankly it is an extraordinarily small piece of the digital business segment although we're looking forward to it becoming a much bigger piece of it. As we said before, Career Builder, PointRoll and ShopLocal are really the key drivers in the digital segment. And I won't comment on what Career Builder's margins are or what Monster's margins are. I will only tell you that we are very pleased with where Career Builder and PointRoll are today. We acquired as you recall the pieces of ShopLocal that we did not own because we knew that there was an opportunity there to combine them with some things we did at PointRoll and we are achieving better results as a result of that. So right now we are extremely pleased at where those margins are on all of those businesses, margins that allow us to continue to grow those businesses as well.
Operator: Your next question comes from Edward Atorino – Benchmark Capital.
Edward Atorino – Benchmark Capital: How does the, sort of your first quarter guidance compare with January? And is there any sign out there that the checkbooks are beginning to loosen up a little bit after the disastrous start to the year?
Craig A. Dubow: You know, Edward, over all visibility right now I think as I commented already are just very, very limited. We are not seeing checkbooks just coming open, but we do understand that there is opportunity in the pipeline. But I want to caution that by saying the visibility is extremely limited at this point. And frankly it has been slower to actually come to fruition than we have anticipated thus far. But we do realize and understand there's some business out there.
Edward Atorino – Benchmark Capital: Any auto business of any significance in there?
Craig A. Dubow: Well auto business, as you know, has had a very significant decline this past year. And it is still down significantly. And right now, Edward, I'm not seeing anything that's suggesting there's going to be any near-term ups in that.
Operator: Your next question comes from James Goss – Barrington Research.
James Goss – Barrington Research: Gracia, you mentioned that newsprint prices had turned lower in the fourth quarter. I'm wondering what sort of trend are you looking at in terms of both prices and the consumption side because you were doing well there last year? And overall in terms of the cost between the newsprint issue and the impact of furloughs are you looking at like a 10% or more decline in overall costs in the first quarter as you look into the period?
Gracia C. Martore: Jim, on the newsprint consumption front we would anticipate that consumption based on a number of the initiatives that we have in place onward with reductions and consolidations and a variety of other initiatives that I know about [Dickey] and the USCP has and Newsquest and others have. We would anticipate that consumption would be down more than what you've seen in the fourth quarter. Looking at all of these initiatives together, both on the newsprint side as well as on the furlough side, it's just a little early in the quarter to really frame the exact reduction and expenses. A lot's going to depend on where volumes are, where business trends go for the remainder of the quarter. But you can be sure that we will continue to be as focused and disciplined on the cost side as we have demonstrated over the last several years and we will do all of the right things to make sure our expenses are in line with the revenue opportunities we see out there.
James Goss – Barrington Research: The other question for either Gracia or Craig, in your digital area how does your revenue mix break down between advertising versus service enhancements and widgets and all the other things you have done because it seems like you're having a better experience than all of the others that are having in the area. And I suspect it's because you're not just ad-focused.
Craig A. Dubow: I think that's a fair approach to look at it from Jim. We in general predominantly I would say have been ad-driven. But there are other pieces to this that I think you are very aware have come into it really over the last three quarters that have helped us in some of the other arenas. And I think you're going to see that continue as we move forward. Obviously right now CPMs are pressured. I don't think there's any surprise in that on the digital side. As we've gone into Q1 here hopefully that will show some improvement, but we're not seeing that at this point. But that's in general where we are at this time.
Operator: Your next question comes from Michael Kupinski – Noble Financial Group.
Michael Kupinski – Noble Financial Group: Media general reported yesterday that they're seeing some silver linings in its newspapers, particularly from retail in the first quarter. And I was just wondering in terms of what you might be seeing and any signs of stabilization to that category particularly? And are you seeing some more trends in December continuing through the first quarter? And I have just one more question after that.
Gracia C. Martore: Mike, on retail I think it's going to vary market to market and each company has different markets, different geographic concentration. So, I think it's very early in the quarter to really try to predict any trends or any real strong idea of where things are going given the limited visibility we have. I think that we're continuing to do a good job on realizing all of the advertising dollars that are available in the retail space in the markets we serve. But it's just a little too early to be perhaps as optimistic as others. But again it depends on what markets you're in and focused on.
Craig A. Dubow: And Michael, just to add there with what our USCP group has done under [Bob]'s leadership. Really they're working hard in driving from the national perspective that one call opportunity so that we are consolidating and trying to listen to the advertisers as clearly as we can so that we can minimize the amount of time and effort to purchase across all markets. So, there are lots of efforts from the listening standpoint that we're trying to convert. And frankly I think as the year goes along we'll see some good results from that.
Michael Kupinski – Noble Financial Group: And in terms of the first quarter how is it shaping up in terms of as we relate to the fourth quarter of '09, or '08. I'm sorry.
Craig A. Dubow: As it relates I think you're seeing a continuation of really where we have been. I mean some areas are a little bit better than others. But I would say in general, I mean it's not terrific, but as I said a little bit earlier there is business out there. And I think with the efforts from each of the divisions there's good prospects. But it's not very robust at this point and visibility is just very, very limited.
Michael Kupinski – Noble Financial Group:  And in terms of the pacing information and the guidance that you've given for your broadcast division, I believe you didn't really have any political advertising in the first quarter of '08 if I recall. And I was just wondering if you can break down what you're seeing in terms of local versus national in the quarter?
Craig A. Dubow: At this point let's just say first of all there was say in the 5 million range or so in Q1 of political from '08. Michael, I think as you take a look at the way this is breaking down it's fairly consistent at this point on a percentage basis in the way it's coming in, but traditionally national is not going to be quite as strong in this market obvious from the local efforts that are out there and that’s fairly consistent as we go forward right now.
Gracia C. Martore: I think we only have time for one more question.
Operator: Your next question will come from Matthew Miller – Investco.
Matthew Miller - Investco: If I could just focus on two issues, the headcount reduction and follow on to Craig’s question about pension. What was the total headcount impacted might be 56 million – what were covered by the 56 million severance charge.
Gracia C. Martore: That was about 4,000 FTEs but I need – let me double check that.
Matthew Miller - Investco: And if I could clarify your response to the pension question, if you get an unfunded obligation of $575 million at the low end that’s greater than 10% deficit to your PBO. The Pension Protection Act of 2006 requires a qualified linear funding over a seven year period. How is it that you avoid cash funding in 2009 regarding that issue?
Gracia C. Martore: If you have, we also have some pension credits so that would help with that contribution issue. And in fact I’ve confirmed that indeed it was about 4,000 FTEs across all of our segments.
Matthew Miller - Investco: Is it fair to assume that you would start to linearly fund that deficit in 2010?
Gracia C. Martore: Not necessarily. I think it is much, much too early to determine where we’re all going to be. A lot has to evolve but – and it’s a very complicated calculation that you have to do to determine how that funding goes if you have to do it. So I think it would be difficult for us at this moment to give you really a finite answer as to how you would fund it over those several years.
Operator: That does conclude our Q&A session for today. I’d like to turn the call back to Gracia Martore for any closing comments.
Gracia C. Martore: Thanks very much for joining us this morning and if you have any additional questions I know that Jeff Heinz who you can reach at 703-854-6917 would be happy to answer them or conversely you can reach me at 6918. Thanks and have a terrific day.
Operator: Once again that does conclude our conference call for today and we thank you for your participation. Have a great day.